Norman Asbjornson: Good afternoon. I'm Norman Asbjornson reporting on AAON's investor conference call for the fourth quarter and the year 2011. Prior to going forward, I'd like to read a disclaimer.
 To the extent any statement presented herein deals with information that is not historical, including the outlook for the remainder of the year, such statement is necessarily forward-looking and made pursuant to the Safe Harbor Provisions of the Securities Litigation Reform Act of 1995. As such, it is subject to the occurrence of many events outside AAON's control, that could cause AAON's results to differ materially from those anticipated. Please see the risk factors contained in our most recent SEC filing on Form 10-K.
 Thank you. I would like introduce Kathy Sheffield, our CFO. 
Kathy Sheffield: Good afternoon, and welcome to our conference call. Thank you for joining us for this review of AAON's financial performance for the fourth quarter and full year 2011. I'll begin by discussing the comparative results of the 3 months ended December 31, 2011, to December 31, 2010. Our revenues were down 4% to $63.4 million from $65.8 million. The decrease in revenues can be contributed to 10 less production days due to plant shutdowns associated with the holidays and to a decline in orders from customers who were not able to receive their orders before the year end to take advantage of that Tax Relief, Unemployment Insurance Reauthorization, and Job Creation Act for equipment that was put into service in 2011. Our gross profit decreased 39.1% to $8.6 million from $14.2 million. 
 As a percentage of sales, gross profit for the quarter was 13.6% compared to 21.5% a year ago. In addition to the lower productivity that we just discussed, the gross margin for the quarter was also affected by several other factors: Inefficient sheet metal production due to changing out of approximately 50% of our capacity in a short period of time in order to have our new equipment that we installed in the fourth quarter operable by the end of the year, numerous costs expensed during the change out of the equipment, inefficiencies in production due to lack of sheet metal parts in a timely fashion, costs associated with relocating 3 assembly lines and rearranging 2 other assembly lines, a continuation of component part price increases that we were any unable to fully pass on to our customers, and manufacturing inefficiencies due to the introduction of new products. 
 Selling, general and administrative expenses decreased slightly 4.1% to $5.6 million or 8% of sales from $5.8 million or 8.9% of sales. Operating income decreased by approximately 85% to $1.2 million or 1.9% of sales from $8.3 million or 12.6% of sales. In addition to the previous discussion, operating income was impacted by a $1.8 million loss on the trade-in of equipment. Net income decreased to 85% to $0.9 million or 1.4% of sales from $5.8 million or 8.8% of sales. Diluted earnings per share was $0.04 per share versus $0.23 per share. Earnings per share were based on 24,821,000 shares versus 24,950,000 shares in the same quarter a year ago. 
 As we discussed the results for the full year ended December 31, we're pleased to report that our revenues were up 9% to $266.2 million from $244.5 million. This was accomplished by gaining market share as a result of that favorable reception to our new products and also by the signing into law the Tax Relief, Unemployment Insurance Reauthorization, and Job Creation Act for qualified capital investments.
 Gross profit decreased 16.1% to $46.3 million from $55.2 million. Gross profit as a percent of sales was 17.4% for the year ended 2011 compared to 22.6% in 2010. In addition to the quarter details, year-to-date margins were also impacted by the loss of production for 8.5 days in February and production inefficiencies throughout October due to the building damage caused by the snowstorm and also by increases in raw material and component parts throughout the year. 
 Selling, general and administrative expenses were $22.3 million or 8.4% of sales from $22.5 million or 9.2% of sales. The decrease as a percent of sales was primarily due to lower profit sharing, which was the result of a decrease in earnings, which was offset by an increase in salaries, employee benefits, selling related expenses and professional fees. Operating income decreased 32.2% to $22.2 million or 8.3% of sales from $32.7 million or 13.4% of sales. Other income and expense was adversely affected by a $500,000 insurance deductible related to the building damage from the snowstorm. Our effective tax rate increased from 33% to a normalized 35% due to the fewer federal tax credits that we received in 2011. Net income decreased 36.1% to $13.9 million or 5.3% of sales from $21.9 million or 9% of sales. Diluted earnings per share was $0.56 per share versus $0.87 per share. Earnings per share was based on 24,881,000 shares versus 25,339,000 shares for the same period a year ago. 
 Moving to the balance sheet, we see that we had a working capital balance of $45.7 million. Our current asset ratio was 2:1. We created a tax refund of $10 million, which will have a positive impact on our liquidity as refunds are converted to cash in 2012. Our capital expenditures were $35.9 million. We had no long-term debt. Shareholders' equity per share was $4.92 compared to $4.61, and we paid cash dividend of $5.9 million in 2011. 
 I would now like to turn the call back over to Norm, who will discuss our results in further detail along with the new products and our outlook for 2012. Norm? 
Norman Asbjornson: Good afternoon. I can only say that this was a very interesting year we just finished. We started the year out thinking we were going to invest approximately $10 million in capital expenses and then in December, when the government allowed us to start 100% depreciation on things, it turned our whole world upside down and it never stopped for the balance of the year for a variety of reasons. The beginning thing that hit us right away of course was the fact that the market did not improve appreciably during the year. It had a little more decline in it, and the market of which I speak is the building markets that we're serving. Now that market is the lodging building type buildings, office buildings, commercial buildings, health care buildings, educational buildings, religious buildings and manufacturing projects and then another all-inclusive group called other types of buildings. Net was in a continuing downswing start which started in 2008 and included in being almost flat between 2010 and 2011, but it still was in declining during that time period. 
 Now I would like to talk just a little bit about the various things which we did during the year. Let us talk about the equipment, first of all. That's where everything in our world starts is our equipment. As we have been talking for several years, we've been on a very determined goal of accelerating as much as possible during this downturn, the development of a new product, several new products. We've gone through the number of products right now, approximately 70% of our volume is in those new products, which we've developed over the last 3 or 4 years. And we're in the process now of working on the final 30%, most of which will be concluded this year. That brought us to the point where we determined that we were being very successful with this product line. It was being well received by the product customers and in spite of the down trend in our business opportunities, we were gaining market share. And so when the government allowed us to take 100% depreciation, we did some calculations and concluded it was very optimal for us to take advantage of that even though the machines that we were going to obsolete weren't totally worn out although they were very, very badly worn because they had between 60-some thousand working hours and almost 100,000 working hours give you a point of that reference, one year has 8,760 hours in it. So we indeed had put a lot of hours on those machines. But they were still functional and they were as you would expect, a little slower because they were older machines and they did break down reasonably often. But we were going to obsolete them over the next 2 to 3 years beyond that but with that offer by the government, we decided to obsolete all of them right away. However, when we did that, we did not know that at that point whether we were going to keep those old machines or whether we were going to trade them in. We got a trade-in price from the vendor of the new equipment and then we ordered that new equipment with the option to trade in the old equipment with no commitment made at the time we ordered the new machinery. So they were still trying to get our hands around how we were going to do all this because even though it was highly beneficial to us, we had a few options that we could use on those old machines. The options were we could leave them where they were and put the new machines in our West building where we have enough room to put those machines in or we could extract the old machines from the building and sell them on our own or we could trade them in. As it turned out, we didn't finally and made a final determination to trade them in until the fourth quarter of this past year at which point in time, we finally decided that the only reasonable thing for us to do is to trade them in even though they haven't been fully depreciated and have a little bit over $1.8 million worth of undepreciated assets more than what we got on the trade-in value. That being said, we had also committed to a fairly sizable, roughly a little over 200,000 square foot addition to the facility in the Longview and also in the Tulsa facility and we were embarked upon that. All of this was compounded by a snowfall we had in the first week of February that took down about 24,100 square feet of our roof in 4 different sections. And when we lost the roof, we lost some of it on the East plant and most of it on West plant. This made the facilities open to the outside air and we hit some 20 below     weather concurrent with the snowstorm, which obviously gave us a freezing condition inside the buildings on the east -- or the west side. The east side, we were able to contain it enough that we didn't lose the temperature down to below freezing. But we went well below freezing on the west building, which caused equipment damage, plumbing damage, you name it, we had it damaged, and we had no ability to heat the building. And so for 8.5 days, we were shut down totally. And when we got back up, we had no temperature control in the west building. We had managed to contain the damage on the east building, but the people which -- our west building is our larger structure. We're basically working in outdoor where air conditions is very close to it. And it was still quite cold in February. And then it went in to the summertime and it got hot and the heat not only made it bad for our employees, but the machinery, the sheet metal machinery has high temperature limits and it started shutting down on us. And so on a real hot day, we'd have machines go down and we couldn't get them running with both hands on them and things like that to get them back up but it was rather a challenging environment we lived through.
 All that being said, we did still manage to pull off the second best sales year that we've ever had. But the one part that really took a real beating was the bottom line because we had all these extraneous costs that we haven't anticipated and really money at which we had no control over which beat up on us on the financial side. So I'm very proud of the employees of AAON because I think they did a superb job of getting us through last year. Where we are today is all that is behind us. The building is behind us. All of the big transitions we've been making are almost all behind us. The only one which is still in progress at this point in time is the building, the major building we built was some office, additional office space, which was no problem because we aren't needing that anyway. But the other thing which we do badly need is the warehouse. The warehouse is finished as far as the building is concerned, but as far as the interior is concerned, we have probably 6 months left of finishing the floor, finishing the ceiling, wiring it, putting in racks and stocking all the racks. And so that portion will be ongoing until sometime in the latter summer before we really start getting beneficial use of that. That will add to our productivity of our operation when we finally get there. However, we will have a cash drain on us between now and then. 
 However, the really stupendously good thing that did occur to us is our business stayed up fairly well. In the first 7 months of last year, we booked orders at a rate 19% better than what we had the previous year. So we were feeling quite good, and then they started diminishing. And the bookings we were having, we concluded were primarily due to government's 100% depreciation on certain capital goods and the people who were ordering it like we did our machinery early in the year and as the year went on, they ordered less and less and it diminished until end of fourth quarter they weren't ordering any of it and we were pretty well running out of it, the orders that we had. And that resulted -- we were up 19% in orders compared to 2010 through August and then we started going behind. And by the time we finished, the last 5 months of the year, we booked 9% less business than we did in 2010. So that gave us a problem of products that we could ship, build and ship in fourth quarter of last year, as well as all of our other problems which compounded, including the fact that the equipment, the majority of the equipment we ordered from our sheet metal machinery dealer, all of it aligned in the fourth quarter. They were not able to give us some in the first third quarters as was originally promised. And so we had basically 50% of our sheet metal equipment to be changed out in the fourth quarter and trying not losing any production time. That was a real challenging thing for our employees and they came through very well. But it did definitely impact us in innumerable ways. We are, as I said, totally through that. We had to have them all up and operating by the end of the year, which we did. And so consequently, the 100% depreciation allowance is allowed to us and we have not collected that money yet. The money will be collected this year, it's $7.8 million and we have another $2.2 million worth of other items, which also gave us tax credits. So we have a total of $10 million coming, going into this year of tax credits. We will be using some of them, but we are and have filed a request for the money back. We don't know how fast that will be acted upon so we don't know that. 
 Due to the various things we have to do to file our income tax, we won't get the income tax filed until April. So if they don't refund it on the paperwork we've already submitted, I would presume we'll get it in May or June. The nice thing of it is of course, that throughout this -- excuse me for having this kind of a raspy throat here -- throughout this time frame, we've been able to keep our inventory under control for the year in total. As we told you in the past, we pre-bought a lot of things to try and offset cost increases on them and we pretty well used them all up during the year so that our inventory was pretty well back. We had very good receivables. We got our receivables in excellent condition. And so the problems were the ones which we've been enumerating to you so far. The net result is that going into this year, we were not booking business well because the replacement market was just kind of dead for the last 5 months. It was diminishing in December, it got very dead. And the first 10 days of January wasn't real great either. And then the new orders really started kicking in and they really came in. We have had this phenomenal order input and so the question arises, why did you have a phenomenal order input? We've had a lot of discussions around here and there, basically 3 things that we believe to be possibilities.
 Looking first of all at the architect's billing index and knowing that somewhere between, according to them, 9 months and 12 months go by from the time that they bill something, work that the architects, do before it gets out and gets bid on and started to being built. So you can look at an architect's billing index as we do all the time and see there was no upswing in the billings. So 9 to 12 months down the road, there's not going to be any big upswing in buildings being built because they weren't designed. So we know that isn't where it came from. So then where does it come from? Well, some of those buildings that were built are designed maybe several months ago or years ago possibly and never put under contract, were brought off the shelf this year and put under contract. That is a very real and probable thing because there is more optimism in the society right now and so that's highly likely that there was some of that. The next thing is that the winter has been a very open winter. So some of the business that we wouldn't normally expect to see until springtime, we probably have already started seeing it coming in, and that, we believe is a real potential. And the third thing is that our new product is being very, very well received by the customers, by the salespeople and everyone involved and they are just getting a bigger share of the market. 
 Due to the magnitude of the input of the orders that we have received in the first 2 months of this year and are continuing to receive, I would give credit to all 3 scenarios, but I would give the dominance of credit to the new products' reception in the marketplace. So if that is the dominant thing, it's reasonable to expect a continuation of that order input. If we were counting on the other 2 items, those things are a one time sort of event and they have already come and gone probably. So we will see as we go forward whether the third option is the one that really is the real word for why we are doing so well on the bookings. I wouldn't tell you the total percentage bookings because it's unreal and I'd lose credibility with you. So all I'll say is we gave you the sum of where we were on March 1 and it is quite satisfying in our part in here. As I said and as continuing, there was one thing that you have to recognize, that has to be realized, is we had another couple of price increases during that time frame and with those price increases, you'll always get an influx of orders so that they beat the price increase. So of that $55.3 million that was in here on March 1, probably about 90% of it was pre-price increase because the price increase occurred in the February time frame and the orders that came in after the price increase is probably about 10% of that backlog. So we have to work out somewhere of around 40-some million dollars worth of it at the old price level. However, I'll also tell you that at the old price level, we are able to manage to get over the 20% margin on our standard gross margin. So it will have a material effect in that sense. Last year, we were only 17.4% on our gross margin for the yearend total. So we've already realized one month of other business at the higher margin that was in price increases that were done last year not this year. And we would, like I would say have another price increase in February which brought in some of that business. So we've got a lot of things going that could explain that input of business. And that result is we're very optimistic around here that it may not be as wonderful a situation going forward, but we're still quite optimistic that it's going to be a very good situation considering the marketplace. 
 I spoke a little bit earlier about the architect's billing index and I'm sitting looking at one of their indexes right now and as I look at it that and I go back say to 2010 and look forward through the entire year of 2011, and try and project that into the next 12 months of orders or the balance of 2012 and what I'm seeing there is that it's sort of a stable situation as far as how many hours were billed for by the architects in designing buildings, which is probably the best index I know of in the building industry to say what's going to happen in the commercial building market. Since we're talking commercial, recognize we're not really seriously in the residential market and so I'm not talking all about the residential market. The market being stable then, the question comes about well, what can you really expect if that's the true case what can you expect based upon your historicals and project it forward? 
 Well, let me walk you through a little bit of history. From 2003 to 2008, in those buildings that I mentioned, those various building types, the growth in dollars spent according to the U.S. government was construction spending over those period between 2003 and 2008 in those building types went up 64%. AAON sales during 2003 to 2008 went up 88%. So there was a 14% differential in the growth, which was -- had nothing else really be material there other than we took up much market share. Now, starting in 2008 and going through 2011, the market, by those same statistics, declined by 37%. AAON sales declined by 5%. In other words, we somewhere around doubled our market share taking during the downturn. So our salespeople did a fantastic job of promoting our new products and doing the things necessary to make that happen. 
 Now if you look at it, you'll see that we went down in 2008 to 2009. We went flat from 2009 to 2010 and we went modestly up between 2010 and 2011. And I've already told you what's happening to our order input. So even with a flat sequence in the building of those buildings, which is what we anticipate, we still will expect that, that growth of market share taking that we're experiencing for the past 3 years is going to continue, which is about the difference between a 37% decline on the construction side and AAON's 5% decline or a 32% difference over a 3-year time frame there. Well, the other factor which someone is probably going to raise, what about -- isn't replacement market a major part of your business? And yes, it is. It's somewhere we think last year a little more than 50%. Well, how does that work into this? I know of no statistics that tell us anything on replacement market. So I can only assume that it somewhat tracks new construction. That may not be correct. But at any rate, we did take significant additional market share between 2008 and 2011. We anticipate that is going to continue in 2012. So with the flat market in the building industry, we expect to grow at a reasonable percent maybe getting up into the double digits that is hard to say. 
 Does anybody have any questions at this point in time? 
Operator: [Operator Instructions] 
 The first question we have is from DeForest Hinman. 
DeForest Hinman: With the increase in backlog, have you had to hire additional workers? 
Norman Asbjornson: Yes. Last summer, to give you a feel for it, last summer, we were running about in Tulsa, we were running about 1,200 people. In Longview, we were running about 400 people. When it started slowing down in the last half of last year, we just didn't hire people. We left attrition diminish our people and most of our business that we report to you is from the Tulsa facility. Most of Longview's business comes up there in the form of material to get put into our product. So I'll talk primarily about the Tulsa facility. In letting it go down, it went down to, from right at 1,200 to it went down to 1,071 people. And that occurred at about the second week of January, at which point in time, it became obvious to me by the order input that I'd better stop it. So I stopped it and, I started replacing the people. About a week later, it became obvious that something bigger was happening and we started hiring people. We are now back up in Tulsa to 1,121 people at this point in time. So we've hired back from 1,071 to 1,121. We are not at the present time hiring because we think the increased productivity which we've accomplished by rearranging all those production lines and buying that machinery probably we'll be able to stay with about that much personnel and be reasonably able to do the same volumes we did last year. That remains to be seen of course. But at this point in time, we're going to be running with about somewhere around 80 people less than we were the last year. 
DeForest Hinman: Okay. And are there any worries there in terms of efficiencies taking on the extra workers or do you think you can get them trained up to speed relatively quickly? 
Norman Asbjornson: We think we have a pretty good way of doing it. We have a lot of training things in place and we have a logical way of bringing them from an untrained worker on up to as a highly skilled as they want to make themselves be and work for us. And so we're not concerned with that. Although unemployment in Tulsa, I saw last night, in Oklahoma, had dropped to 6.1%, it's not -- there's not as many people looking for work around here. I think we're in the same general area in our Texas facility as far as unemployment. 
DeForest Hinman: And the 50 people that you added, how many people of those were rehires? 
Norman Asbjornson: I don't really know. I would say the majority of them were not. The majority of the ones that because recognize the ones left, left without us letting them go. They left on their own volition, so the likelihood of them coming back is not very great, I don't think. 
Operator: The next question comes from the line of Jon Braatz. 
Jon Braatz: In 2011, last year, you spent about $36 million in new equipment, so on, so forth. Now, obviously, there was going to be a nice payback on that equipment, productivity, other cost savings and so on and so forth. I know this may be a difficult question, but if you would look at maybe your gross margins that you achieved a couple of years ago when things were really rocking and rolling, I think they were 25%, 26%. Now, under similar circumstance, incrementally, how much do you think this investment can add to your margins, maybe not at the peak, but just during any period I guess, if I could say that, how much are you... 
Norman Asbjornson: If we replicated the volume we had last year, we have very easily concluded that it will be an excess of $1 million just over the machinery we're using and we bought more machinery than what we need. So if we were growing and have the ability to use all of the machinery to the fullest extent and recognize -- we run 23 hours a day, 7 days a week on that machinery. If we were able to add that much business, it would be somewhere $2 million to $3 million that we would have gained by having this new machinery as opposed to that old machinery we had. And the primary reason for that is that the machinery have been improved that much by the manufacturer and it's almost twice as fast as the old machinery that we would have replaced, not counting the downtime. 
Jon Braatz: Okay. And sort of what -- if you could, is there a at capacity utilization number that you're on, you're at in terms of that new machinery? Are you operating at 50% capacity, 60%? 
Norman Asbjornson: You know what we did last year and here's what we are and where we believe we are. In our analysis of our facilities, recognize some of the facility is ready for more business but there are choke points in the facility that I have not expanded and would cause us to have to do something to get rid of those choke points. But in general, we think that the buildings would presently handle about $800 million. Okay? And the machinery, as it is, as we have it right today would handle around $600 million. So you could say we're way overstocked on building and we're way overstocked on machinery. But here is the reason why that exists. On the building side of it, we can afford the building for the improved monthly productivity. And consequently, even though at the present time, in order to complete the building process that we have already planned, we always do our planning several years in advance because initial planning is never very good, and as we get a little older and a little smarter, we keep changing the plan. So we start out several years before we need to embark on it, so we kind of get it more correct by the time we're ready to build the plant. So we have already planned out the buildings and we've already done all the internal work as far as figuring out what kind of volume we can get out of it, what we're going to have to do, how many fork lifts, how many everything down to very minute details we do in this planning. And at the present time, in the Tulsa area, to finished off everything we've got. We need about 59,000 more square feet. 
 That is in 2 building processes. There will be 2 different ones. One is just a small extension on the east facility and the other one is a new laboratory that we need here. The Longview facility, we have a lot more latitude. We're just in the beginning stage in that, and we have 14 acres down there on which we can build adjacent to the 13 acres we already own and that our buildings on now. We can -- we know we can put as much as 350,000 square feet on that adjacent acreage, but we don't know what the first shot will be. So that's where we are on the building. And we will proceed on building some things not because we need more buildings, because we're overutilized or underutilized or anything it's because the efficiency can be enhanced in our manufacturing methods. And so when we get to the point that we think we can make money by improving the efficiency and adequately, we will go ahead and build some more of that building. 
 On the machinery side of it, that was primarily because if you recall and I think you were with us long enough to know we oftentimes ran into machinery limitations and we end up not being able to take business because we were short on machinery to build the sheet metal and so we didn't want to get caught in that bind again. And so we overdid it a little bit and then with the government coming along that way, that just made it all the more intelligent for us to go forward and overbuy on the machinery. At this point in time, if the order input is at all anything close to resembling what we're doing out in the world and that's highly debatable. We may not have so much excess machinery for too long. 
Jon Braatz: Yes, yes, okay. I listened to a couple other related companies in their conference calls. It sounds as if that one particular area of the, let's say, nonresidential construction market, that has been strong and sort of new manufacturing facilities. And I guess number one, are you seeing that too? And number two, is that apparently good for you? Are you better in that market niche or stronger than that market niche or does it really matter? 
Norman Asbjornson: I will give you a very specific answer in just one moment. In our manufacturing business, that normally has been about 14% of our marketplace. Okay? Now flipping to the most recent one, which I have the census data on through January of this year and looking down through it and looking at January of 2011 versus January of 2012, manufacturing is up 38.3%, which is phenomenal. So I don't know what's driving that. In January of 2011, there was -- these are all in millions of dollars, $29.7 million of was spent in '11 and in '12, $41.197 million was spent. And If I go back on the sheet I'm looking at, it only goes back in September, but all of everything from September up to January is all $40 million or more. So yes, there is a very big upswing in manufacturing buildings, by far the biggest upswing many times more than anything else. The next biggest one, for instance, education is our biggest market place and that is up 5.8%. 
Jon Braatz: Okay, okay. All right. Do you have a stronger market share on the manufacturing segment as opposed to other market segments? 
Norman Asbjornson: Well, no. I wouldn't say so. I'd say we probably we have a stronger market share in the educational. But we are -- what some of the things we are doing or have done recently has put us in a position to enhance our ability to go after the market share in that arena more than we were able to before. So I think we probably can take some advantage of that. 
Operator: There are no questions in queue at this time. 
Norman Asbjornson: All right. Well, thank you very much for your tuning in with us. We appreciate your involvement with AAON stock and without further ado, I'll say goodbye and talk with you next quarter hopefully. Goodbye.